Operator: Good day, ladies and gentlemen. Welcome to the First Quarter 2012 Marvell Technology Group Ltd. Earnings Conference Call. My name is Jeff, and I'll be your Operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to introduce our host for today, Mr. Sukhi Nagesh, Vice President of Investor Relations. Please proceed, Mr. Nagesh.
Sukhi Nagesh: Thank you, Jeff, and good afternoon, everyone. Welcome to Marvell Technology Group's fiscal first quarter earnings call. I am Sukhi Nagesh, Marvell's Vice President of Investor Relations. And with me on the call today are Dr. Sehat Sutardja, Marvell's CEO; and Clyde Hosein, Marvell's CFO. We will all be available during the Q&A portion of the call today. If you have not obtained a copy of our current press release, it can be found at our company website under the Investor Relations section at marvell.com. Additionally, this call is being recorded and will be available for replay from Marvell's corporate website. Please be reminded that this call will include forward-looking statements that involve risks and uncertainties that could cause Marvell's results to differ materially from management's current expectations. The risks and uncertainties include our expectations about sales of new and existing products, general market trends, including statements about TD and the SSD market, statements regarding our financial predictions for the second quarter for fiscal 2012 and our expectations about long-term growth. To fully understand the risks and uncertainties that may cause results to differ from our outlook, please refer to Marvell's latest annual report on Form 10-K and subsequent SEC filings for a detailed description of our business and associated risks. Please be reminded that Marvell undertakes no obligation to revise or update publicly any forward-looking statements. During our call today, we will make reference to certain non-GAAP financial measures, which exclude stock-based compensation expense as well as charges related to acquisitions, restructuring, gains and other charges that are driven primarily by discreet events that management does not consider to be directly related to Marvell's core operating performance. Pursuant to Regulation G, Marvell has provided reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures in Marvell's first quarter earnings press release, which has been furnished to the SEC on Form 8-K and is available on Marvell's website in the Investor Relations section. With that, I would now like to turn the call over to Sehat.
Sehat Sutardja: Thanks, Sukhi, and welcome aboard. And good afternoon, everyone. Today, we reported first quarter fiscal 2012 revenues of approximately $802 million, reflecting an 11% sequential decrease from the prior quarter. We delivered non-GAAP gross margin of 58.5%, operating margin of 24% and non-GAAP earnings per share of $0.29. We generated free cash flow of approximately $150 million equivalent to a 20% free cash flow margin. We continued to deliver strong profitability and cash flow generation even in this low point of our revenue cycle, highlighting the long-term leverage of our business model. Also, consistent with our plan to return value to our shareholders, we used approximately $800 million to repurchase about 50 million shares in the quarter. Now let me summarize our results across our end markets. First, in our mobile and wireless end market, Q1 revenues declined over 30% sequentially and represented approximately 25% of our overall revenues. The sequential decline was higher than previously anticipated and reflects pronounced seasonality in the consumer end markets and continued softness at one of our larger customers. Given the recent market concern surrounding our Mobile and Wireless business, I would like to take a moment to address this up front. First, I would like to stress that the mobile end market is a key area for Marvell, and we continue to invest new product development and to strengthen our infrastructure to support new customers. As an example, we are currently supporting over 20 handset designs at new customers. In addition to our current 3G and TD offerings, our investment in advanced technologies, such as LTE, are starting to pay benefits. We are already sampling our LTE solutions at some of our key customers and believe we are well positioned to benefit when the market ramps. Although quarter-to-quarter fluctuations are hard to avoid, we believe our business at our leading customers will be sustained, and we will continue to be a significant player in this space. Second, I want to share with you the current status of the ramp in TD products. We are winning about 80% of the TD smartphone designs on the Android and OMS platforms. Our single-chip solutions address the entire spectrum of low- to high-end TD phones, and we are firmly entrenched in the high-volume sweet spot. We believe our solutions are compelling for this market and should translate into solid growth for our TD business this year. We remain confident that our early investment in support of the TD has been extended in China will be very beneficial to us as the majority of China's mobile 600 million subscribers continue migrating to the smartphone market on the TD standard. In addition, we are working with our key carrier partners and handset customers on prototypes for our next-generation TD LTE, which we'll be sampling later this year. These new products are best in class and fully backward-compatible. We believe these investments will further distance us from our competitors in TD. During the last quarter, we achieved a significant milestone as the first company to ship TD single-chip solutions in production volumes. We expect these revenues to more than double in the second quarter. This should provide clear evidence that our strategy in TD is successful. Now moving to our Wireless Connectivity business. The combination of our single-chip connectivity and software solutions provides the lowest power footprint compared to our competition and is well suited for high-performance, high-volume consumer devices such as game consoles, smartphones, notebooks and tablets. While the first generation of new consumer devices, such as smartphones and tablets, were designed with 1x1 configuration for both cost and power rhythm, the higher-performance, high-bandwidth multimedia applications required by next-generation consumer devices will need to start using Marvell's industry-leading low-power MIMO solutions with beamforming technology. Since the introductions of our product last quarter, customer interest has been very high, and we have already been designed into multiple tablet reference platforms. Our MIMO and beamforming technology is also being designed into next-generation wireless access points. The powerful combinations of having this technology both in the client and in the access point will deliver high data rates at a much broader reach, and Marvell is well in the lead on this front. Overall, for the second quarter, we expect revenues from our mobile and wireless end markets to grow in excess of 20% driven by growth at our existing mobile customers, the growth in TD, and seasonal increases in wireless connectivity. Now moving to our storage end market. Q1 revenues declined about 1% sequentially and represented approximately 49% of our total revenues in the quarter. This was slightly better than our earlier forecast for a low- to mid-single-digit sequential decline. All of you are aware of the tragic events in Japan and the destructions to the supply chain resulting from it. This impacted Marvell as we saw an erosion in HDD demand from our existing customers at the end of our last quarter. Some of our existing customers experienced supply shortages from other components in the drive. And as a result, pulled less products from our hubs than we originally anticipated. We expect this situation to resolve in the current quarter. More than offsetting this shortfall was an increase in the ramp for our solid-state SSD products from both existing and new customers. Let me now address the recent M&A activity at our HDD customers. Based on our discussions with our customers on both sides of the transaction and also on the product road maps, we are confident that we will benefit from this consolidation. We believe our ability to further distance ourselves from our competitors will become self-evident as the new platform ramps as our customers become visible in the marketplace. We are mindful, however, that the timing of such ramps are market-driven for the most part. Let me address the other parts of the storage end markets. As we have mentioned previously, our leadership position in HDD technologies is directly translating into design wins in SSDs and other adjacent markets. Our multiyear investments in SSDs technology across all major interface standards, including SATA and PCI express is directly translating into us winning the majority of designs in the growing SSD market. As a result of this design win, we are on track to more than double our SSD sales this year. We have also recently introduced the DragonFly Virtual Storage Accelerator, which improves server I/O performance by over 10x and is particularly well-suited for enterprise-class cloud computing applications. In short, we are extremely well positioned in the storage end market as we will continue to be a market leader in HDD and have already achieved a similar positioning within the SSD. Looking into the second quarter, we expect our storage business to grow low to mid-single-digits sequentially. This growth is mainly due to the continued ramp of our new HDD customers in an essentially flat end market. Now turning to our networking end market. Q1 revenue increased 4% sequentially and represented approximately 21% of our total revenue in the quarter. This was better than earlier expectations of flat for the quarter. The sequential growth was mainly due to both a recovery at our customers from the inventory issues they experienced in prior quarters and new platform ramps. We expect these ramps to continue into the next quarter. Now to further our leadership in the networking end market, we recently introduced a family of 40-nanometer-based ultra-low-power Gigabit Ethernet transceivers and physical layer devices that will be adopted in next-generation data centers. We also recently introduced our new 40-nanometer lion packet processor, which is best in class in many areas, including the ability to support 96 10-gigabit ports or 32 40-gigabit ports in a single device. The capabilities of these new single-chip devices are significant as the industry's first and only chip to meet the higher throughput and latency requirements of next-generation data centers. This processor family is especially designed to support a full suite of layer 2 to layer 4 switching and browsing capabilities. We're excited by the progress we are making in our networking end market. We are penetrating existing and new customers with leading-edge products which are being adopted by our customers for their increased function and value. Now for Q2, we expect our networking end market to grow sequentially by mid-single-digits. This growth is primarily due to new design ramping at many of our customers. In summary, while our results for our first fiscal quarter were at the low end of the guidance, we believe we are now making progress across all of our end markets and in alignment with our R&D investments. We continue to work hard to provide the best-in-class solutions to our customers. We are confident that our business model will continue to pay dividends to our customers, our employees, and our shareholders. Now I would like to turn the call over to Clyde to review our financial results for the first quarter, and provide our current outlook for the second quarter of fiscal 2012.
Clyde Hosein: Thank you, Sehat, and good afternoon, everyone. As Sehat mentioned, Q1 revenues for fiscal 2012 came in at approximately $802 million, representing an 11% sequential decrease from Q4 fiscal 2011 and a 6% decrease from the same period a year ago. Our overall revenue performance was at the lower end of our prior forecast. As Sehat indicated earlier, this was mostly attributable to low Mobile and Wireless revenues and by the supply disruptions caused by the Japan earthquake impacting our HD demand later in the quarter. Our non-GAAP gross margin for the first quarter was approximately 58.5%, in line with our guidance and roughly 90 basis points lower than the prior quarter. The sequential decrease in gross margin was mainly due to a combination of higher commodity prices, including gold, and tape out costs for leading-edge products, for leading-edge process nodes as we ship to 40-nanometer and finer [ph] geometry. The higher commodity prices has impacted our margins by over a point in the last year, and we have the patience [ph] to persist in the near term. Our overall operating expenses for the first quarter on a non-GAAP basis were approximately $279 million, slightly below the midpoint of our guidance. As compared to the prior quarter, overall expenses increased 4% and was up about 9% in the same period a year ago as we continued to prepare for the launch of several new products this fiscal year. R&D expenses for the quarter were approximately $223 million, up about 6% from the last quarter and up about 11% from the same period a year ago. SG&A expenses for the quarter were approximately $56 million, a 5% sequential decrease from the prior quarter. This resulted in non-GAAP operating margin of 24%, in line with our guidance. I want to highlight that even at this low point of our revenue cycle, our operating margin continues to be in the top tier of our peer group. Interest income was just over $3 million, consistent with our forecast. However, this was offset by certain non-cash charges related to the currency impact of the eroded U.S. dollar on our international tax liabilities. On a non-GAAP basis, we recorded tax expenses of approximately $1 million, slightly below our prior forecast. Our non-GAAP net income for the fiscal first quarter was approximately $189 million, or $0.29 per diluted share, in line with our prior guidance but a decline from the $0.40 earned in the prior quarter and $0.38 earned during the same period a year ago. The shares used to compute diluted non-GAAP EPS during the first quarter were approximately $663 million, a decrease of roughly 22 million shares from the prior quarter, primarily due to our share repurchase program. Changes in the diluted share count are primarily due to share repurchase, options exercised by employees, share purchased through the ESPP program and variations in average trading price in the reported periods, which impacted the treasury method of the computing diluted share count. Cash flow from operations for the first quarter was approximately $177 million as compared to $251 million reported in the fourth quarter and lower than the $256 million reported in the same period a year ago. Free cash flow for the fiscal first quarter of 2012 was $157 million, representing a 20% free cash flow margin, compared to free cash flow of $213 million reported in the previous quarter and $237 million in free cash flow reported in the year ago period. We define free cash flow as cash flow from operations less capital expenditures and purchases of IP licenses. Let me now summarize our quarterly results on a GAAP basis. We generated GAAP net income of approximately $147 million, or $0.22 per share, in the first quarter of 2012, down from the $223 million, or $0.33 per share, in the prior quarter and the $206 million, or $0.30 per share, we reported in the same period a year ago. The difference between our GAAP and non-GAAP results during the first quarter of fiscal 2012 was due to stock-based compensation expenses of approximately $27 million, or about $0.04 per share. Amortization of intangibles represented approximately $14 million, or about $0.02 per share, and restructuring-related costs are less than $0.01 per share. Now I'd like to review our balance sheet as of the end of fiscal Q1. Cash, cash equivalents, and short-term investments were approximately $2.3 billion, a decrease of approximately $662 million sequentially but up $189 million from the same period a year ago. During the first fiscal quarter, we repurchased about 50 million shares for a total consideration of about $800 million. Accounts receivable was approximately $425 million, down about $34 million sequentially and a decrease of $23 million as compared to the same period a year ago. DSO was 50 days, up from 47 days last quarter and 43 days a year ago. Net inventories at the end of the first quarter were $299 million, up from $245 million reported in the fourth quarter and $207 million in the year ago period. Day sales inventory was 74 days, up 15 days from the 59 days reported in the previous quarter and the year ago period. The sequential increase in inventory is mainly due to anticipated seasonal bills by our customers and the ramp of new products over the next couple of quarters. Accounts payable were approximately $322 million, down $10 million sequentially and up $26 million on a year-on-year basis. Now I'd like to turn to our expectations for the second quarter of fiscal 2012. We currently project second quarter revenues in the range of $870 million to $910 million. At the midpoint of this range, this represented growth of about 11% sequentially. By end market, we expect storage to grow low to mid-single-digits sequentially, networking to grow mid-single-digits and mobile and wireless to grow over 20%. We have previously mentioned that our fiscal first quarter would be dilutive for us, as we anticipated growth in the second quarter in all of our served end markets. In the Mobile area, in addition to continuing revenues from existing customers on account of new product launches, we expect to benefit from strong growth in branded and non-branded TD handsets in China. As Sehat mentioned earlier, we have seen the benefit of our early investment in TD. During Q1, we began to shift production volume of our TD customers, and we anticipate that revenue to more than double in Q2. In Wireless, we expect seasonal build and new products to drive growth in our Connectivity business. In the networking end market, we expect revenues in Q2 to increase sequentially from new design wins at existing and new customers, resulting in better-than-market outlook for our Networking business. In our storage end market, we expect revenues to increase low to mid-single-digits sequentially. As Sehat indicated earlier, this represents essentially a flat market for HDD drives and continued share gains at new HDD customers. We currently project non-GAAP gross margins in the range of 58% to 58.5%. We currently anticipate non-GAAP operating expenses to be approximately $285 million plus or minus $5 million. We anticipate R&D expenses to be approximately $225 million and SG&A expenses of approximately $60 million. At the midpoint of our range, this should translate into an operating margin of approximately 26% plus or minus a point. The combination of interest expense and other income together should net out to be approximately a $2 million benefit. Non-GAAP tax expense should be approximately $3 million. We currently believe the diluted share count to be approximately 630 million shares. This share count reflects the full-quarter effect of more than 50 million shares we repurchased and retired in the last quarter. Taken together, we project non-GAAP EPS to be $0.37 per diluted share plus or minus a couple of cents. On the balance sheet, we currently expect to generate over $200 million in free cash flow during the quarter. We anticipate our cash balance to be about $2.5 billion excluding any special items, M&A activity or continued share buyback. We currently expect our GAAP EPS to be lower than our non-GAAP EPS by about $0.07 per share plus or minus $0.01. About $0.05 of this is related to stock-based compensation expenses. In summary, the first quarter of fiscal 2012 was a tough one for us. We experienced an unexpected product shift at our leading mobile customer in response to market dynamics [ph]. This came at a low seasonal point of most of our customers compounding the effect. Even at this low point in our revenues, we still generated top-tier gross operating and free cash flow margins in our peer group, demonstrating the resilience of our business model. We took advantage of this low point by repurchasing and retiring 8% of our common outstanding shares. Our business will continue to grow, evidenced by the more than 10% sequential growth we have made this quarter, and we expect to improve our profitability as that growth continues. With that, I'd like to turn the call over to the Operator to begin the Q&A portion of the call. Jeff?
Operator: [Operator Instructions] Our first question comes from the line of James Schneider with Goldman Sachs.
James Schneider - Goldman Sachs Group Inc.: I was wondering on the outlook, clearly, it's a pretty strong outlook on a sequential basis, better than seasonal for Q2. Clyde or Sehat, maybe as you look into Q3, can you talk about the seasonality you expect normally for the business and how your business you think is going to track relative to that?
Clyde Hosein: Our business is -- more than half of it is consumer-centric. And our buying patterns, Jim, as you and many others know, is back-to-school and Christmas. If you offset the supply chain lead times to affect that, you're looking at the bill season of something in the May to November timeframe. So we expect seasonal growth into July, as you saw. That probably is going to increase a little bit again in the October quarter for us and then, all things being equal, decrease slightly in the January quarter. So the short answer for you in Q3, you should see -- not forecasting anything beyond Q2, but from a seasonal perspective, you should see a little bit more uptick reflecting back-to-school and early Christmas probably.
James Schneider - Goldman Sachs Group Inc.: Okay, fair enough. And then with respect to the TD Handset business as well as the solid-state drives, Sehat, I think you mentioned those 2 businesses being strong growers for you this year. Would it be possible for you to quantify the sales contribution you expect from those 2 combined in some kind of range for the year?
Sehat Sutardja: I'll talk a little bit and then maybe, Clyde, you can add on top of that. As mentioned in my remarks, we have 80% design wins for the TD smartphone, and you can safely assume there's only a few of those phones are in the production right now. So the vast majority of the phones that will be ramping up in the next quarter and 2 quarters actually throughout the year. So we do continue to see our contributions -- increased contributions from the TD ramp over the year. The SSD, similar to SSD, we have, okay, so we have the majority of the design wins on SSD. And this is not surprising, because our strength in the HDD, a lot of technology in SSD is directly leveraged from our HDD investment over the last 15 years as well as we've been investing in SSDs for many, many years, more than most people they know, more than what people know about how long we have invested in SSDs. We've been putting our most advanced technology into this. And as a result, we're also getting the design wins, significant design wins on the SSD as well. Now SSD will ramp more as the price of the flash continues to go down. That's number one. And number 2 is as people build more fab capacity to supply flash for the SSDs, because, after all, the SSDs requires lots of flash chips. So this will take its natural time to ramp up. I'm sorry, I cannot give you the numbers, obviously, because of that.
Clyde Hosein: So Jim, I think we need to be cautious about providing specifics on it. These are new products, as you know, and the timing of these ramps is always the bigger issue. We believe once they ramp they will be very meaningful for us. So I'll try to help you a little bit more. In SSDs, you previously mentioned that we ended fiscal '11, or last fiscal year, in the high single-digits, tens of millions per quarter. And we expect that to double -- exiting this year, we expect that to double that run rate. We still expect that, so I think that gives you close color. In terms of TD, I think it's significant that we were the first to introduce the TD phones. We started production volumes and revenue in nontrivial amounts last quarter and expect that to double in Q2. We are careful not to provide specifics on that, because the number of customers we shipped to in Q1 is just a few. That number increases as we go on through the year. And so I don't want to give too much color about their business at this time. But as we go throughout the year, it will become apparent how big this opportunity could be. And as we ship to more customers, we will provide more color going forward.
James Schneider - Goldman Sachs Group Inc.: If I could just sneak one more in. On the hard drive industry consolidation front, you've talked about your confidence and ability to gain share through this transition. Can you discuss what your customers have said, the ones that are sole-sourcing you, about their willingness to maintain that sole-source relationship going forward?
Clyde Hosein: We can't give specifics about what our customers have said. But I think if you have sole-sourcing, I think it's an interesting one, especially with the recent events and the price risk management. But what Marvell has done in the past and continue to do, the benefits of our technology is so overwhelming that it has probably that customer maybe see on through [ph], it has overwhelmed the issue about sole-sourcing. So at the end of the day, you got to look at the benefits we bring versus the risk of sole-sourcing, and that's probably the best to think it.
Sehat Sutardja: Let me add, I just add a little bit. We have been in the business for 16 years. And every time we go ask these questions, and from, as far as I know, the industry's always been sole-sourced for the last 16 years we do business, and well ahead before we enter business, before we entered the business. So this is not just about cost, also not a about just single supply. It's about who can build the best performance, the lowest power, the lowest cost and the highest yield, the lowest error rate and the highest reliability. And this cannot be translated into who can ship a chip that is $0.01 or $0.02 cheaper. They don't make decisions based on that.
Operator: Our next question comes from the line of Glen Yeung with Citibank.
Glen Yeung - Citigroup Inc: Sehat, I think in your prepared comments you talked about Wi-Fi opportunities and, in particular, some tablet references. I just wondered if you could just add a bit more color to that and maybe let us know if those are on current tablet platforms -- or tablet operating systems or future tablet operating systems.
Sehat Sutardja: Sure. So let me [indiscernible] ask for more color on that one. We mentioned in the remarks if we look at the last couple of years, the majority -- I mean not majority, practically all the smartphone and tablet solutions use 1x1 configuration. There was -- the main reason was originally, a lot of the applications are very low-demanding in terms of the data rate requirement as well as the range requirement. But as more and more of these devices becomes more popular and more applications get into this form factors, a lot of people are now demanding much more reliability, much more longer-range. And the only way to solve this problem is really is to use more sophisticated signal processing, in this case MIMO, multiple input multiple output 11n technology is becoming a must. Now Marvell, we have done one step, one quantum step ahead beyond just building MIMO solutions. We are building just because after all -- let me go back, because after all, MIMO solutions were available in the laptop space already for many, many years, but the only problem is those MIMO solution in the laptops were high-power devices. So we've built MIMO devices for the handset device, for tablets, for smartphones. But more significantly, we have added beamforming. Beamforming is a new technology that is going to improve the data rates at the range, at distances by more than an order of magnitude. So previously, if you move away from the access point, you could have like drastically low bit rate, probably like a megabit a second or so at a distance. This technology will allow you to go to 50 megabits, 100 megabits at longer distances. So this is a very important technology. Now what reference designs? These are reference designs. I can say these are reference designs for not just new OSs, but also for future OSs, including for tablets that don't use our processor.
Glen Yeung - Citigroup Inc: Yes, the other follow-up I had was just talking about a little bit more on what you're seeing in networking, particularly at the second half of the year. I recognize that we had an inventory correction in Q1 that ended and now we're looking forward. But it seems like you've got some new products and perhaps new customers. I wondered if you could shed some color on that, and I guess particularly I'm wondering if you've seen any momentum in your business in China.
Sehat Sutardja: Part of that new customers, new products is in China, and our existing customers' inventories have been subsided, as you pointed out. In terms of looking forward, I think we're kind of careful about the second half of the year in terms of end markets, Glen. Your guess is probably as good as ours. But I do think there are, in the following quarter from this, there are additional product that we expect to start ramping. So even if you assume a flattish end market, these new products should continue for us to grow. End market's difficult. I know a lot of folks are trying to triangulate that. It seems that networking spending seem to be increasing across the board, and so we hope that end markets continue to grow. But regardless of that, the existing platforms we described in Q1 and Q2 should continue to grow, and there's a couple of new platforms that's coming on around the second half.
Operator: All right, our next question comes from the line of Sanjay Devgan with Morgan Stanley.
Sanjay Devgan - Morgan Stanley: Just had a couple of questions. If you could just talk about the visibility relative to last quarter, I know you don't break out the exact backlog coverage, but any sense you can give us on how far booked you are this quarter for the guide relative to what you were coming into the quarter last quarter?
Sehat Sutardja: Higher. The visibility is a little bit better. Part of it is seasonal as I described at an earlier question. But I think we have better visibility today than we did, say, 3 months ago.
Sanjay Devgan - Morgan Stanley: That's good. And then just a follow-up, Clyde, I was hoping you can kind of talk us through the DragonFly product. I know you've talked about that more recently and you've put out the press release on that. I was wondering what the initial uptake with customers has been, how it’s been received and when we can kind of expect that to kind of layer into the growth?
Clyde Hosein: The customer reaction and the industry reaction has been very, very good. It's a product that we are excited about. I am particularly excited about that product and the team that has done a fantastic job. The latency, the gestation period, Sanjay, to bring this to market is probably 6-plus months. So you probably won't see that maybe meaningful revenues at the end of the year, but this is more the next-year type of thing given in the enterprise space. The gestation period for customer products is probably 6-plus months. But excellent, excellent feedback from customers and, in some cases, some of the competitors. The feedback we get is excellent for us.
Operator: Our next question comes from the line of Harlan Sur with JPMorgan.
Harlan Sur - JP Morgan Chase & Co: In your recent 10-K filing, the team outlined the view that they could deliver revenue growth this year. Given the April quarter results and better July quarter guidance, I'm wondering whether your full-year outlook remains unchanged. And if so, what are going to be the drivers in the second half of the year? And how much visibility and confidence do you have on achieving this growth?
Sehat Sutardja: Well, the macro issue is visibility the same we all have, and so you have to be somewhat cautious about that. One of the things I think people have probably paid too much attention to is just looking at our Q1 results. We've reiterated in the past and today again that this is the low point of our seasonality. Granted, we had one customer transition that we had to deal with, which is we believe, certainly from a decline point of view, behind us. So I think this quarter, Harlan, you see more than 10% growth sequentially, and the previous question I talked about, that seasonality should continue in the next quarter. And so I think it becomes -- it should become today more visible as to why we believe our business would grow partly because it has seasonality. In addition to -- if you look at the underlying remarks from both Sehat and myself, there's are a number of new products that are coming into market. And it's hard to predict the success how big these things are going to be, whether it's SSD, TD and the like. But we believe the market receptivity for these things are very, very good, and we got to keep our fingers crossed, but the receptivity of these things combined with seasonality for another quarter, we believe, sets us up for growth this year.
Harlan Sur - JP Morgan Chase & Co: And then just one follow-up. On the HDD front, you've mentioned an acceleration of the share ramp in your 2 new customers, and that's something we've been waiting for a while. So good to see that. I'm just curious, how much of this was due to the events in Japan where some of your SoC competitors have been unable to supply products and how much of this is due to new HDD SKU ramps with these new customers? And do you expect to outperform just overall HDD in the front industry fundamentals in the second half of this year, given these additional share ramps?
Clyde Hosein: I'll try to answer all of those. The tragic events, which was bad for a number of folks, we were ramping at HD/SD in any event. Arguably, this would've accelerated that because of shortages caused by the earthquake. But the ramp, in any event, would have happened. So this probably could improve it. From a Q1 and Q2 result, if there's any acceleration of new product SKUs because of that event, Q1, Q2 is probably too soon. Maybe some moderate or diminished market in Q2, but it sets up better us for the second half of the year. But the second part of your question, again, a lot of questions in the second half of the year. It's still too early for us to forecast, although I believe in this particular example, you should see the ramps continuing as well as with other customers in that space.
Operator: Our next question comes from the line of Uche Orji with UBS.
Uche Orji - UBS Investment Bank: Clyde, let me start off by asking you about SSD as well as the new handsets opportunities. Can you talk about the pricing and the margin impact of those products? I don't expect you to give me the ASPs, per se, but are they higher? And will also the margin be at least in line with company average?
Clyde Hosein: Let me do this in 2 parts. For sure, I won't give you the prices. But SSD, I'll answer it simply by saying it will be accretive when that ramps our current margins right now. I think that's enough to answer it. On the TD side, it depends. Sehat described earlier.
Sehat Sutardja: We didn't have pricing. Pricing will be higher for HDD. SSD will always be higher prices than HDD at SoC, always. It will never be lower-priced.
Clyde Hosein: And so that's accretive in margins. On the TD side, it's a big market. Today, we just started, so it's still early to tell. But it's a 600-million-unit market today, and we expect and we have been investing for it being a big market. As that becomes bigger, I expect more and more competition will come into the space. And so today, while we've got a clear lead, both in terms of products we ship in today, in terms of the share we're getting today, like Sehat mentioned, 80% of the designs we've won, but as that market gets bigger, they do move closer to that 600 million market. I expect more and more competition to come in and that margins and that product would be more competitive. So today, it's less of an issue. But over time, I expect, as with everything in this industry, as it attracts more and more competition, that could be -- affect our margins a little bit probably out there a little ways.
Uche Orji - UBS Investment Bank: That's helpful. And just a general question on the Mobile side, the 20% sequential growth guidance you're giving for Mobile. That, I think, is, as always, heavily influenced by the Game business. Are you able to kind of toss [ph] how much within that mobile is affected by gaming solutions versus handset? But more importantly also, there's been a lot of concern about design share losses at your biggest customer, and, obviously, the TD is too early days [ph]. But can you talk about your design activity within your established customer today and whether, specifically, things like QNX Software, where you are and whether your ability to kind of sustain that business is something that we're a little bit concerned about. So 2 questions there. One is can you pass the mobile guidance a little bit, Game versus Handsets, and then talk about where you are in QNX and your ability to retain relevance within your key customer?
Sehat Sutardja: I think everybody's trying to figure out these two-part questions here. The seasonality, I don't know offhand. I think you're right, the gaming system does improve. But what I will tell you is that other products are also improving in that space. So yes, it's probably a little bit disproportional to gaming systems, but I want to be clear, most of, if not all of, the products in that space is improving as well as some new products over in Mobile and Wireless. As to the question on our customer, we've said before we expect to have new designs at that customer. I know there's been, Uche, a fair amount of rumors, if you may, or chatter about us. We fully expect to that you would see new designs at that customer coming out. It's frustrating for many of our investors and some of you guys. The only way to prove that is when you see new products from that customer coming out of Marvell. And so we'll leave it like that, and we'll address that, we believe, positively in the next earnings call.
Operator: Our next question comes from the line of Vivek Arya with Bank of America Merrill Lynch.
Vivek Arya - BofA Merrill Lynch: Clyde, I'm curious, you're guiding stays up nicely. But if I caught a drag, I think gross margin is sort of flattish. Is that a function of mix, or is there anything else that we should be aware of?
Clyde Hosein: Not so much mix. I mentioned before, if you look at the price of gold, it went from just about $600-ish a year ago to $1,400 to $1,500 announced right now. And that hurt us year-over-year in that period of time with a point [ph]. We're just beginning to see the effects of that as that comes through as the supplier prices starts reflecting that. And more of that comes through the shift into our Q2. So that's probably the biggest effect of it. The other part is Sehat and the team is driving to find the geometry. So most of our designs stay at 40, and then we can later see it go to 28. And that, as the first production stuff comes out, that has a near-term effect on our gross margin. So that's really the biggest issue that's driving that.
Vivek Arya - BofA Merrill Lynch: So as we look out longer-term, is it more reasonable to assume 58% or 57% gross margin? Or you think you can stay around the 59 percent-ish level that you have been at historically as revenues come back to the historical ranges?
Clyde Hosein: So a couple of things. One is we all hope gold comes back down to $600. I think everyone would agree with that. And obviously, that would improve it. Second thing is we are moving aggressively to move over the copper. Our teams are doing an excellent job moving as fast as arsenal [ph] customers would allow. So it's a little bit of a hedge in that. As far as the finer geometries go, I do believe for the next couple of years people will move into these finer geometries. But as the product comes to market, that should improve over time. So short answer is it's probably going to affect us near term as some of these things I described improve it to be better. I would encourage you, though, to stay around 58% in the medium term. And as we get closer, we would provide more guidance to you. As far as mix effects, before somebody asked earlier about TD. If this market takes up substantially as we fully expect it will, that could have -- that's probably the biggest mix effect, but we don't see that in the next few quarters. So I'd stay at 58-ish percent in the next few quarters, and we'll update you.
Operator: Our next question comes from the line of Craig Berger with FBR Capital Markets.
Craig Berger - FBR Capital Markets & Co.: Apart from the near-term guide goodness, revenues are still flat to flattish year-over-year, flattish versus even calendar 2008. So I guess I'd be asking -- we've been hearing about new product ramps for a while, and revenues just don't seem to be materializing, maybe, as expected. And so my question is what operational or strategic or investment decisions could have been better over the last 2 years? And what should give us investors confidence that you guys can actually show real growth to something north of about $1 billion a quarter in revenues?
Sehat Sutardja: So, Craig, if you look -- let me adjust it on a year-over-year basis. As we painfully described last quarter, the effect at one of our customers, that's about 10% of our revenues. So if you take that -- and that's essentially where we are today. If you take that into consideration, the rest of our business has grown. And I think if you look at -- so, granted, you got to put that into the equation. But if you take customer specificity out of the way, the rest of the business has grown. Second thing is, if you look at the results of Q1 and you look at our forecast for Q2, you see networking is growing well above what the end industry market. Our networking business grew 4% last quarter versus the industry and versus our competitors. We are providing a forecast by the same rate of mid-single-digit into the next quarter. That's not end market. That is new design and new product. Networking, as we've said many times before, gestation period for product is a longer period of time. So that is continuing. That's yielding results now, as we speak, and we expect to continue result. Second data point for you is on TDs. We didn't give specific numbers. I'd like to give that to you, but it's not a meaningful amount in Q1, doubling in Q2. That will continue. That won't stop in that period of time. We also give specific examples on SSDs. Where you see, even in Q1 where we've had impacted near term because of the events in Japan, we made up for that with SSD growth. So I understand it. I understand some frustration. I think if you take and parse it out, you'll see within it one specific event. Beyond that, a number of areas that only have just begun to yield very significant, very long lags, and very significant opportunities for growth. So I'm confident that we'll deliver and continue to deliver results.
Craig Berger - FBR Capital Markets & Co.: Well, storage is still well below where it used to track a year or 2 quarters ago.
Sehat Sutardja: Yes, but PCs, as we all know, are affected in part by economies and in part by tablet. So that's fair, but the other Storage Technology we bring into market will offset that.
Craig Berger - FBR Capital Markets & Co.: And I guess my follow-up question is on the QNX solution that you'll address, for QNX, what is the earliest you could sample that solution, and what's the earliest you could ship that solution into production units?
Sehat Sutardja: That's our customer's schedule, and we should let them answer that. But we are working with that software. But we'll let the customer answer the questions on that.
Operator: Our next question comes from the line of Craig Ellis with Caris & Company.
Craig Ellis - Caris & Company: Just, Clyde, given the importance of both TD and the SSD business as we think about the near-term growth, one on TD. Can you talk about what your total dollar content is and some of the other important elements of that business and what percent of handsets are you bundling connectivity or Power Management? And then on SSD, give us an insight on the mix of business, consumer versus enterprise or breadth of customers, that kind of thing.
Clyde Hosein: Okay on TD solutions, the team includes a CP which is both the TD modem and an ash [ph] processor in a single chip, the only one in the market today. It includes connectivity. It includes Power Management, that includes RF. So it's a full Marvell suite of products in there. I won't disclose the pricing for that, but it's all of those products. On SSDs, most of our existing revenues and our revenues entering the year is on the enterprise side. Most of the growth that we expect to be seeing, I'm seeing some right now, would be on the client side and the pure SSD client PC side.
Craig Ellis - Caris & Company: Okay, and then just a follow-up on TD. My understanding is that TD is trying to be about a 50-million- to 60-million-unit opportunity this year at China Mobile. I think you'll been referring as 600-million-unit opportunity, that's the whole China Mobile sub [subscriber] base. Can you provide some visibility into how rapidly you think we get from 50 to 60 million units this year up to a much more meaningful percent of the China Mobile subscriber base with TD?
Clyde Hosein: So the 600-million-unit China Mobile subscription, they have been allocated at TD technology. So we expect over time, I don't know how long that would take. It could take years. I haven't heard, Craig, 50 or 60 million units this year for the smartphones, which is where we play. I've heard a number much more moderate than that. We've heard, we are not forecasting, but we've heard more 10 to 12 million units this year, which is a very good start, and we've heard numbers in the industry of 30 to 40 million units next year. So I'm not sure with 50 or 60. We're happy to see that, but I don't think we've heard that in this space. The issue for us is to win the design, and we win in 80%, as Sehat mentioned earlier, and then support those customers to grow, which is why we invested a fair amount of R&D. Beyond that, you just got to hang on and hope to grow the TD technology, and Sehat can probably add to this, is a very compelling technology. It's certainly very important to the folks in China, and we expect that to grow. But what we can do, Craig, is to win the design, and we're doing an excellent job on that.
Sehat Sutardja: Let me add a little bit more color about why is TD so important to China. There's a lot of people -- a lot of people in outside China are skeptical about the opportunities of TD in China. The way I look at it, I can explain it from a technical point of view. But then, I can speak until I'm tired, and nobody will care anyway. So I'm trying to, this time, answer you from a different angle, from a non-technical point of view. As you know, Chinese have been run -- the society has been run for 4,000 or 5,000 years of history. And over those history, they invented many new technologies hundreds of years before anybody else invented those technologies. Yes, okay, recently, okay, in the modern eras, in the cell phone, they were behind. But they were behind only for a few years. The TD-SCDMA industry standard was developed a few years later than the WCDMA 3G standards. So it's natural for the WCDMAs to be ramping up in the rest of the world first. However, China, with understanding the Chinese, already waited 5,000 years in history. Waiting for a few more years for ramping up all the majority of their cell phones to use Chinese phone standard. Okay, it's of the highest priority for the Chinese people. So this, compared to anything else, this is more important than, let's say, speeding up the deployment of 3G into China by using outside technology. And they're only few years. And from then on the Chinese people will be labeled do not have any 3G technology. So the way I look at it, okay, that's not going to happen. What's going to happen is that TD is beginning to be deployed in China for the Chinese people. They're ramping up huge number of subscriber, and as I mentioned earlier, 600 million subscribers. Over time, those subscribers will all move to TD-SCDMA and TD LTE. The base stations already been deployed. More than 220,000 base station last year being deployed throughout the whole China, not just in the big cities. Everywhere, throughout the whole China. That's more than base stations, the number of base stations in the largest area in, let's say, in the U.S. in total. And this is just the new base station for China Mobile, and they continue to invest in new base stations this year and next year. So you can see that the opportunities for us is great. The only thing, as Clyde said, is we need to just wait and see when the rest of the customer will ramp up. As the products get more mature, as the prices goes down, it will be natural for those design wins to continue to go into production. And the beauty is that we have 80% of design wins. So at least we don't have to worry about, okay, when it actually ramps, it will be somebody else, not only us.
Operator: Our final question comes from the line of Srini Pajjuri with CLSA.
Srini Pajjuri - Credit Agricole Securities (USA) Inc.: Clyde, on the storage side, obviously you outgrew the customers in Q1, and it looks like you're guiding for a better than end market growth in Q2. I'm just wondering how much of this is share gains and SSD versus maybe some restocking here? And if it is restocking, I'm just wondering how we should think about second half seasonality in this particular business.
Clyde Hosein: We said, both Sehat and I, the assumption here is flat HDD end market. So the growth we described, I believe it was mid-single-digit, is essentially share.
Srini Pajjuri - Credit Agricole Securities (USA) Inc.: Okay, fair enough. And then maybe, Sehat, on the ARMADA CPU line of the business, we've been hearing a lot about from a product announcement standpoint for a long time now. Given your expertise in this market, and the lack of progress has been somewhat disappointing, clearly, but you did mention that you're making progress in LTE. I just want to hear about tablets and maybe some of the other opportunities that you're pursuing, and also longer term, maybe, if you take a 1 to 2-year view, where do you see the most growth for this business? Is it still in customers like RIM, or is it outside? Is it TD, or is it new markets such as tablet?
Sehat Sutardja: [indiscernible] to answer this. As you know, there's a 800-pound gorilla that's out there that's very strongly the tablet business. So every other -- the vast majority of companies there working on the tablet solutions do have a challenge on trying to get the tablet market in the short term. In the long term. In the long term, I do believe that our strength in being able to integrate the modem and the application processors will be important not just in the cell phone, in the smartphone, but also in the tablet. There are so many -- because after all, the tablet -- if you think about what's in the tablet, the tablet really is a smartphone with a bigger screen. So it's just a matter of time. You're asking about in the next 2 or 3 years, I do believe in the next 2 years or so when things, the dust settle down, the tablet and the smartphones really looks just the same like we have design wins like we have significantly done with in the smartphones market, but we'll have design wins, sizeable design wins, in the tablet. For the market, they are obviously, we'll use the type of technology, the modem technology that we developed. For this market that we don't use our own, the modem that we don't develop, obviously, they'll go somewhere else. But as I said, TD-SCDMA, we invest in TD-SCDMA, LTE, TD LTE, as well, and WCDMA. So this is at least 70%, 80% of the market of the world anyway, so that's enough. There's a big enough time for us to address. And so if we can address our fair share of market share for those markets, we'll be just fine. And so for now, for us is to invest. We have to invest in the software. We have to invest and support of the customers. We have to design new chips with more advanced technology, better and higher integrations, and make the things lower cost and so on. So the standard stuff that we do in any other businesses. So sometimes these things takes time, longer time than we expect. I understand the frustration. I also wish I could get things get done sooner, but sometimes we win some. Sometimes, we lose some, and then things get delayed. We'll come back and recover, and then we'll become a stronger company as a result.
Clyde Hosein: Srini, I would say we invested in all those areas. Some are more visible today to you, and I think others would become visible incrementally in the next few quarters. So it's hard to predict which one is going to be bigger. It's like saying which one of your child is going to be better than one. We think all of these are great opportunities, and we expect them to play out. We expect to win in each of those areas you described.
Operator: Ladies and gentlemen, that concludes the Q&A portion of the call. I'd now like to turn the presentation back over to Mr. Sukhi Nagesh for closing remarks.
Sukhi Nagesh: Thank you, Jeff. I would like to thank everyone for their time today and continued interest in Marvell. This quarter, we will be participating in the Bank of America Conference in New York and the NASDAQ Conference in London. We look forward to speaking with you in the coming months. Thank you, and goodbye.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a wonderful day.